Operator: Good morning, and welcome, ladies and gentlemen to the Gray Media 2024 Q4 Earnings Call. [Operator Instructions] And without further ado, I will now turn the program over to Chairman and CEO, Mr. Hilton Howell.
Hilton Howell: Thank you so much operator, and good morning, everyone. As the operator mentioned, I'm Hilton Howell, the Chairman and CEO of Gray Media. Thank you all for joining our fourth quarter 2024 earnings call. With me here as usual at Atlanta are all of our Executive Officers, Pat LaPlatney, our President and Co-CEO; Sandy Breland, our Chief Operating Officer; Kevin Latek, our Chief Legal and Development Officer; and Jeff Gignac, our Chief Financial Officer. As usual, we will begin with a riveting disclaimer that Kevin will provide.
Kevin Latek: Thank you, Hilton. Great introduction. Good morning, everyone. Today, we filed on Form 8-K, our earnings release and investor presentation. Later today, we will file with the SEC our annual report on Form 10-K. These materials are all available on our website, which is www.graymedia.com. Included on the call may be a discussion of non-GAAP financial measures, and in particular, adjusted EBITDA, leverage ratio denominator, and certain leverage ratios. These metrics are not meant to replace GAAP measurements but are provided as supplements to assist the public in its analysis and valuation of our company. Further discussions and reconciliations of the company's non-GAAP financial measures to comparable GAAP measures can be found on our website. All statements and comments made by management during this conference call other than statements of historical facts should be deemed forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties. Actual results in the future could differ from those described in the forward-looking statements as a result of various important factors that are contained in our most recent filings with the SEC. We undertake no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. I now turn the call to Hilton.
Hilton Howell: Thank you, Kevin. You do that particularly well. Good morning again, everyone. For many reasons today is a great day to discuss with you the state of our company and its direction. This past Sunday on NBC and obviously, all of our NBC-affiliated stations, Grosse Pointe Garden Society, the first of the broadcast shows produced at our own assembly studios, premiered at 10:00 p.m. Eastern Time. Next, this Monday, on CBS, the first new soap opera in over 30 years, Beyond the Gates, also shot at Assembly, premiered at 3:00 p.m. Eastern Time, and then every day, so far this week on all of our stations and across the country. Significantly, the Gates is a coproduction between CBS and the NAACP, that focuses on a very successful African-American family in Maryland, the Dupree family, a milestone show in broadcast history, and we are exceptionally proud to help get it on the air out of Assembly Studios here in Atlanta. And tonight, we are thrilled to reinforce the news that across 24 Gray Television markets, the Atlanta Braves America's Team, will debut on live television from spring training in Florida. Tonight's game against the Washington Nationals will be the first of 10 preseason games produced by Gray that will air across Braves Nation and we will follow up with 15 regular season games simulcast across the same footprint. These are accomplishments that we are truly proud of. Now let's turn to our financials. We are very happy to announce that our results for the fourth quarter finished better than our guidance on both revenues and expenses. Total revenue in the fourth quarter of 2024 was $1 billion, an increase of 21% from the fourth quarter of 2023. Total operating expenses in the fourth quarter of 2024 were 2% below the low end of our previously announced guidance. Net income attributable to common stockholders was 156 million in the fourth quarter of 2024, compared to a net loss attributable to common stockholders of $22 million in Q4 2023. Adjusted EBITDA was $402 million in the fourth quarter of '24, an increase of 86% from the fourth quarter of 2023, due primarily to political advertising revenue. In addition to these operating results, we're proud of the progress we made on our balance sheet during the fourth quarter. Just two weeks after our third quarter earnings call, we announced that we had completed a series of transactions that collectively reduced the company's principal amount of debt outstanding by $278 million since October 1. During the full year of 2024, we reduced the company's total principal debt by $520 million, exceeding our $0.5 billion goal. That November announcement was a fitting way to complete the year in which we executed on our pledge to concentrate our free cash on reducing our debt and improving our balance sheet. In addition to reducing our total debt during the year, we also refinanced our debt to extend our maturity days, increased our revolving loans available, and greatly lowered our capital spending as we completed numerous projects. In the end, we finished the end with a lower leverage ratio than we began the year. Operationally, we continue to enhance our local content offerings in 2024. We devoted tremendous efforts to reaching new local sports back to our television stations. Last year's milestones included a historic deal, as I had mentioned earlier, bringing Atlanta Braves games back to broadcast of Gray's TV stations in our home town of Atlanta, and throughout most of the Southeast this Spring. We also renewed our affiliation agreement with ABC network for four additional years. In 2024, our Investigate TV and local news live franchises both continued their momentum with viewers and both also significantly expanding their distribution across broadcast, digital and mobile platforms. The success of NBCU and CBS at Assembly Studios provide wind in our sales as we continue discussion about leasing our remaining studio facilities with other production companies. We expect to have more announcements about Assembly Atlanta throughout this year. That will include progress on the buildup of other parts of our mixed-use campus on the land that we own. importantly, utilizing financial resource of our future business partners at the site. With our significant capital investments now largely behind us, future projects at Assembly Studios and Assembly Atlanta should enable the development to expand its financial contributions to our entire company. We are also encouraged by signs from Washington, pointing to a long overdue reform of the regulatory constraints that have literally harmed local broadcasters. While every day, we compete for local ad dollars with tech giants free from constraining rules that we are shackled with, which, as one of our more eloquent lawyers wrote were enacted before the Japanese bombed Pearl Harbor. It remains a fundamentally wrong and harmful policy for the government to burden our local news sales employees with these decades-old restraints, while imposing essentially no restraints on much larger companies who compete vigorously with us for the attention of viewers and advertising budgets. We are optimistic that the federal government, as well as our upcoming negotiations with our network partners, CBS, FOX and NBC, will recognize the reality of today's media marketplace in 2025. Such actions will enable us and our peers to operate more efficiently, compete better against the tech giants, and deliver better services for our viewers, our advertisers and indeed, our shareholders. At this time, I would like to turn it over to Pat LaPlatney.
Pat LaPlatney: Thank you, Hilton. Last year, our business we remember primarily for political ad revenues. Broadcasters overall took in record revenue from political ad spending and a lot of new dollars that entered the space were used to buy ads on Connected TV. Gray also sells ads on Connected TV platforms and has a dedicated team focusing on ways to better leverage our strong digital audiences and local connections in the political ad space, as we expect that sector to grow going forward. Overall, in '24, we saw increases in each category of political ad revenues other than Senate, which is our largest category. Despite the Senate map not favoring Gray's footprint in 2024, we still believe that our political advertising revenues for the year exceeded our peers in total dollars and on a per television household basis, based on the results announced by our peers right after the election. The $250 million of political ad revenue in the fourth quarter had the expected effect of displacing a large amount of core advertising revenue through election day, as happens every election year. As we mentioned on the Q3 call, we also heard from our commercial advertising clients in the third and fourth quarter about some hesitancy around advertising during election given the tone of some of the political campaigns. We did, however, exceed our Q4 core guidance. The hesitancy and caution around advertising we saw during last fall's election season persisted into January, we think resulting from economic uncertainty due to potential government policy changes. This caution is most evident among our automobile advertising customers. We hear that some dealers and manufacturers are pausing or reducing their advertising campaigns, as they evaluate how tariffs and continued high interest rates may impact near-term demand for new and used cars. Our January core ad revenues were down from last year, our February core ad revenues were about the same as last year's, excluding Super Bowl bookings and Leap Day, and March pacings are currently showing improvement and tracking roughly flat to last year's actual core ad revenues. Overall, for the first quarter of 2025, we currently expect that core advertising revenue will be down 7% to 8% compared to the first quarter of '24. Again, there are three primary factors causing this decline. First, is the political or economic uncertainty that I just discussed. The second impact on core results was from the Super Bowl airing on our 33 FOX channels in 2025, compared to our 54 CBS stations in 2024. Our FOX stations did very well, increasing their Super Bowl advertising revenue by about 50% for the last time the big game aired on FOX in 2023. This, however, was still only about half of what we sold during last year's Super Bowl, they aired across our much larger CBS footprint, including our CBS station in the Chiefs hometown of Kansas City, as well as St. Louis, Topeka and Wichita. Finally, our first quarter of 2025 will be negatively impacted by one less billing day due to Leap Day, which we estimate impacted our core revenue by $3.5 million to $4 million. Excluding Super Bowl and Leap Day impact, our core advertising revenue guide for the first quarter, 2025 is down 3.3% to 4.6% from the first quarter of 2024. We are encouraged by our success in acquiring Pro Sports rights Hilton mentioned the Braves, which will impact 24 Gray markets. We announced our Memphis Grizzlies deal this morning and expect to announce a couple more agreements in the next few weeks. We anticipate having local sports product in 75 to 80 Gray markets by the end of the first quarter. With that, I'll turn it over to Jeff.
Jeff Gignac: Thank you, Pat. As Hilton mentioned earlier, reducing debt and leverage remains our top capital allocation priority, and we made significant progress again in the fourth quarter. As everyone saw in our release, we finished the year at 2.97x first-lien leverage, and 5.49x total leverage. And as a side, I would note that our leverage ratio as defined in our senior credit agreement, does not allow us to take credit immediately for cost containment initiatives. And that may not be comparable to what is indicated by publicly available documents for others out there. So to be clear, we've not retroactively included the benefits from the $60 million of cost initiatives we announced last quarter in our December 31, '24 calculations. We are, however, on pace to be at the full $60 million run rate by the end of this quarter. We've been very transparent and opportunistic on our debt reduction efforts and are proud that we reduced our principal balance by $520 million during 2024. Through use of open market repurchases, we captured $46 million in debt discounts during 2024. And we continue to have our $250 million Board authorization available for further open market repurchases. And I think as we've pretty clearly demonstrated, we'll continue to be thoughtful and nimble in deploying our liquidity to further delever the company. We entered 2025 in a very strong liquidity position. As of December 31, '24, we had $135 million in cash, plus $680 million revolving credit facility available. We expect that the next political cycle in 2026 will provide significant cash that together with the liquidity that I just mentioned, will be more than sufficient to address our remaining $528 million 2027 bond maturity. While repaying debt is our number one capital allocation priority, we could also access the debt markets at attractive terms and pricing are available. A couple of other items to mention. Our cash taxes were a little above our Q4 guidance. That's primarily due to taxes on cancellation of indebtedness income. Our CapEx came in slightly below our fourth quarter guide at $96 million, and we expect slightly lower CapEx again in 2025. Yesterday, our Board of Directors declared our regular quarterly common dividend of $0.08 per share and the cash payment of our quarterly preferred dividend. As a reminder, the common dividend is a small use of cash for the year that helps the company on the equity side of the balance sheet. And going forward, the Board will continue to evaluate our dividends in light of our financial position, capital needs and other appropriate factors on a quarterly basis. Before I turn the call back to Hilton, a couple of comments on what we're seeing on retrans. Over the last two years, our traditional MVPD subscriber base has declined essentially the same year-over-year overall rate. We're encouraged, however, by recent sub reports from major cable companies showing a modest improvement in their rate of sub declines, which we attribute to a number of factors that have been discussed on many of our prior calls, including better consumer value proposition by staying with cable. As you know, we entered into a four year affiliation agreement with ABC at the end of last year. That agreement and the upcoming renewals this year with the other broadcast networks provide opportunities for us to rebalance the economics of those deals in light of the MVPD subscriber erosion and loss of exclusivity that have occurred since our last renewal cycle. It's worth noting that our network affiliation fees increased for many years at double-digit rates. Over the past few years, those network affiliation fees have flattened out. And even better, we booked the first ever year-over-year decrease in network affiliation fees in 2024, which we anticipate will continue and even accelerate. This concludes my remarks, and I'll now turn the call back to Hilton.
Hilton Howell: Thank you very much, Jeff. And now operator, I'd like to open up the call to any questions that anyone may have.
Operator: [Operator Instructions] We'll take the first one, Mr. Aaron Watts of Deutsche Bank. Your line is now open.
Aaron Watts: All right, thanks for having me on. I have two questions. Maybe I'll just cover one at a time. The first is around core advertising. Your comments on the softness at the end of '24 and into '25 seem to echo your peers. Given the modest firming up you saw as 1Q played out, as you look ahead, do you think core ads can move to growth on a full year basis? And if so, what might drive that?
Pat LaPlatney: Yes. Aaron, it's Pat. So I think the answer is yes. We are -- it's early, but we are encouraged by the second quarter pacing currently. Some of those categories that have been challenged over the last four to six quarters are showing improvement at this point. So again, based on the data we have today, I would answer yes to your question and say that as we look out a little bit, things are more encouraging.
Hilton Howell: And Aaron, this is Hilton. Can I add just a little bit of something to that? We discussed this at length in our Board meeting yesterday. A lot of our -- the weakness is in the automobile department. And really for the first time since the end of the second war, the automobile productions don't know what the cost of goods sold are going to be. So many parts come from Mexico and Canada and other places around the world. And as we discussed tariffs, I think that's putting a natural chilling effect upon advertising in the automobile sector. That will settle out. And as President Trump has said, there may be some initial pain. This too will pass. And when they know exactly what the prices they need to have to sell their products profitably, I think you're going to see all of the automobile sector returning to advertising.
Aaron Watts: Okay. That's helpful comments. And then my second question is around expenses in the first quarter. Can you parse out your guide, which looks relatively flat year-over-year, how much of the cost efficiencies you've highlighted flowed through in the first quarter? And what other factors are at play there, including maybe any incremental sports rights? And if you can, how should we think about expenses overall as the year unfolds?
Jeff Gignac: Yes, Aaron, I'll kick off and others can weigh in. So as we think about what the flow-through of the initiatives that we've announced, you do start -- there's probably, if I had to handicap it, it's 2/3 to 75% of it is going to be flowing through in Q1. And then it will build from there. It also doesn't mean that we're necessarily done. We look at everything every day and try to be really smart about where we're spending. So I think for the full year, our hope is that we'll be able to, as we've said before, keep the overall rate of growth on the expense side below inflation and potentially even get it to turn negative during the year.
Pat LaPlatney: Yes. I just -- Aaron, it's Pat. Just real quick, I would amplify what Jeff is saying. We look at these numbers every day and are trying to find ways to rein in costs. And I can think of a few initiatives over just the last three or four weeks, where it may not have been part of the big project we announced in the fourth quarter, but -- like Jeff said, we're looking at it every day.
Aaron Watts: And so offsetting some of those costs you're taking out, what were some of the kind of offsetting ups in costs that are playing into the flat overall guidance in 1Q?
Jeff Gignac: Yes. Look, we didn't -- we still have to run very strong local businesses, and we have to attract and retain the talent across the firm. And so we did give raises that are ordinary course of business type thing. So when you have 9,700 or so employees in the company, that -- there's some uplift there. There's some normal increases in other things that just are contractual, but other than that, I mean, it's really -- like Pat said, it's looking for more -- the most efficient way to continue to deliver a very high-quality product in the markets that we serve.
Aaron Watts: Okay. Appreciate the time. Thank you.
Jeff Gignac: Thank you, Aaron.
Operator: All right. Next up we have Daniel Kurnos of The Benchmark Company.
Daniel Kurnos: Great. Thanks. Good morning. Hilton, maybe I'll stick with you, or Pat, a little bit here since you talked about the Braves. Obviously, we have a somewhat public breakup between Major League Baseball and the ESPN. So just curious, the RSNs have picked up a bunch of local games and other sports, but curious if you view that as an opportunity? And then separately, Hilton, you've talked a lot about expanding sort of the mixed-use zones with regards to Assembly. It seems like that's starting to move forward. So I'd love to get a sense from you on TAM, timing, monetization, just how we should think about contribution to that, either this year or next year and for however you want to frame it.
Hilton Howell: Well, you heard this in Pat's discussions. Let me start with sports first, all right? It's a remarkable opportunity. I think by the end of this quarter, Pat articulated to you guys that we will have live professional local sports in 80-something markets across our 113 market profile. That's amazing. And we have been working assiduously. A year ago, we had Arizona and the Suns. And now we have stations across our footprint. If you take a look at our investment deck, Daniel, you can see our sports networks, the Gray, regional sports networks that we created on our own, all in broadcast and we are immensely proud of what we're able to do, not just with the professional sports, but with local sports teams that go down to the high school level, across these networks. And so I think that's going to be really, really hugely additive in terms of our viewership and our profits. Because it creates an immense halo around the stations and it attracts viewers. And a year ago, we didn't have that. It's a great, great addition to our portfolio. Now Assembly. The studios are finished. They are making shows. And as I mentioned -- and I mean, you guys know, I mean, some people cake me about Assembly. I'm immensely proud of what's Grosse Pointe Garden Society on NBC did Sunday night. And remarkably proud, really remarkably proud of Beyond the Gates in terms of the productions that are now on our stations. And so from a business standpoint, I could not be happier with Assembly Studios and the Georgia Film Production that we have in the state. Now in terms of Phase 2, I'm not in a position to prudently announce anything but we are looking at growing other assets, largely in partnership with other companies. We've got a lot of folks that have come to us. And we do not have a large capital expenditure budget in Assembly. So it will be met. We contribute our land, they put in whatever they decide to do and we will add more profitable operations to it, not using our balance sheet dramatically at all. But it will allow the remaining 80-something acres to begin adding profits to the broader company, which we're very excited about. So I hope I answered your question, Daniel.
Pat LaPlatney: And Dan, I'll just touch on ESPN real quick and baseball. I'm not sure that's a huge opportunity for broadcast. As Hilton mentioned, there's all kinds of opportunities out there. That particular sort of divorce, if you will, I'm not sure that creates a ton like the Sunday Night package, right? Is that going to end up in syndication, I kind of doubt it, but who knows? But the reality is, just if you look at our new investor deck and the logo suite page on the sports section, I mean the there's a lot of baseball that's going to land in small packages on broadcast television this year, and we're involved in many of those. And Hilton touched on the sort of halo impact of having sports on your stations that I'm going to turn it to Sandy to talk about that perspective. It's very real.
McNamara Breland: Yes, Dan, it is. I mean these relationships not only bring viewers to the games, but there's an overall halo effect. And we're seeing that. And Phoenix is a perfect case study. We're in our second full season with the Suns, and we have seen that. We have seen advertisers who came to us for the games and now rediscovered the power of broadcast, and local broadcast reach, and are now advertising in other dayparts. So we've seen that halo effect across the board.
Daniel Kurnos: It is very comprehensive, guys. And Pat, we'll see how they end up carving it up. Maybe they'll follow NBA and NHL.
McNamara Breland: Be interesting.
Operator: All right. Moving right along, next up, we have Craig Huber, Huber Research.
Craig Huber: Thank you. On Assembly Atlanta, maybe can you just give us the updated figure for what the total cost is for the project, gross and the net cost? Let me start there, please.
Hilton Howell: Land cost, acquisition cost, building costs is roughly $500 million more or less.
Jeff Gignac: Specific numbers are in the 10-K, which we are following later this afternoon.
Craig Huber: Roughly $500 million net, is that what you're saying?
Hilton Howell: Yes, net or gross, I didn't look at it.
Craig Huber: Okay. Very good. And then you guys are -- I think you're talking about $27 million to $28 million of production company revenue in the first quarter. That'll be up, I guess, $5 million to $6 million over a two year basis. Do you expect that number to ramp up significantly as -- putting aside seasonality, as the year progresses? I'm just trying to get a sense here of the ROI that you're getting off that $500 million?
Hilton Howell: The answer is yes, but there's a couple of things to keep in mind. The immediate impact will be added revenue as more productions build, as I'm sure a lot of you guys know. Right now, Hollywood, however you want to define that, has got a lot of issues. And none of those are under our control, and none of it was created by our company, but the strikes slowed everything in 2024. But as you can tell, productions continue, and I'm really quite excited about not just what we have currently in place and the television shows showing. And for the first time in Georgia, we actually got a broadcast TV show, everything before we went on streaming or on cable. And we have Grosse Pointe and the Gates on our stations, and I could not be happier about it. We're probably 70% occupied in the stages. So I think there's about a 30%, maybe more, upside just in terms of booking, and we have literally quotes out for every station that is not currently filled with a film or television production. And so we're seeing a lot more robust activity in the film and television production side. And while I can't talk to you about the individual stuff because often sometimes I really don't know. Like when we're doing a deal that comes under a code name and we'll get a production request, and I have no idea other than who the company is, what the actual production is because they kind of keep it under wraps until really the last moment because they like to control their own publicity. So immediately, you're going to see it through the return on the studios. But we have another 80 acres that is not currently adding value. And as I mentioned, we're not going to spend a lot more capital, but we're going to enter into partnerships for a variety of assets. It's -- because it's an Atlanta thing, sort of the inspiration for what has been done at the battery with the Braves, which has added immense value to the Braves franchise and to their audiences, is sort of what we're looking at as a comparable in this city. We're going to take a deal by deal and step by step. And we delayed everything because the market wasn't right. People -- banks weren't lending. And the world kind of changed in November. There's a lot of animal spirits that we're seeing out there. So we're very bullish about opportunities and partnerships going forward.
Craig Huber: My second question, if I could. On potential deregulation here, do you guys feel that you will be a major -- a significant participant if the deregulation happens or if assets become available out there? Or does your debt load precludes you from participating much? How are you thinking about that?
Hilton Howell: Well, I mean, look, we're going to -- if we do a deal, it will be a smart deal. There are a lot of things that we would be very interested in doing. Deregulation occurs as we have been indicated, it will. There are opportunities for swaps. There are opportunities for acquisitions. And we've been in this position before. And we've done a number of acquisitions, actually delevering acquisitions. And so we will be looking at that. But there is an opportunity, and this is a finite universe. And we'll take each deal and each opportunity as it comes. One of the happy things about our company is that there's no must-have deals we need to have. We have -- and I suggest you look at it. I think we have the finest footprint in broadcast history. There is no peer in our industry that could have delivered what we delivered to The Braves in Braves Nation. 24 markets. If you look at what we have and what we can do is quite remarkable. But you can look at our investment deck that we had published, I think, today. And you can look at that being true in Arizona, throughout Nevada, throughout the American Midwest, throughout the other Southeastern states that are not the same. But what we've done in the Gulf Coast with the Pelicans, we're thrilled with, absolutely thrilled with. And we hope to replicate that in a lot of places. Because while you got to have the major markets, Gray has a smaller markets that really root for these teams.
Craig Huber: My last question, you guys talked about the potential here for retrans sub declines to moderate. I'm just curious if maybe you're willing to share with us, how are you guys budgeting sub declines in your financials for this year? Are you expecting it to materially get better, say, in the back half of the year on a year-over-year basis?
Kevin Latek: This is Kevin. We do expect the rate of sub declines to slow - same thing last year, what we have seen some encouraging signs late last year as have other folks in the media industry have expressed that. Our internal numbers are assuming things stay the same. We're not giving full year guidance on retrans. So that's just an internal number. We are not projecting a material increase or decrease. We're presuming that rate of decline will just be the same. That's the easiest baseline to budget.
Craig Huber: Okay. Thank you.
Kevin Latek: Thank you, Craig.
Operator: All right. Next up, we have Avi Steiner of JPMorgan Chase & Company.
Avi Steiner: Thank you. Good morning. On the reverse comp trends, you mentioned an opportunity to rebalance economics. And I think you rightly pointed out the decrease in fees in '24. I thought you mentioned it could be lower in '25. Could you dimensionalize that for us this year or maybe put a little more context around it? Thank you. And then I have one more.
Jeff Gignac: Yes, Avi, it's Jeff. So we have -- our two larger contracts, CBS and FOX are up this summer, and then NBC at the end of the year. And so I don't want to say a lot about specifics around where those contracts [technical difficulty] not going to be giving a full year guide until we have more clarity on where those negotiations are going to come out.
Hilton Howell: But suffice it to say, Avi, we're very optimistic, and we're very proud. I will begin -- we can't disclose it. But we're very proud of our new relationship with ABC. I think it properly balances the value of their affiliation with the value of our local TV stations. And as has been mentioned in our earnings spreads. It's the first time we've actually started seeing a decrease in our network like payments. And I think that's very important in today's world. And it's a recognition of reality the media broadcast space in 2025.
Avi Steiner: Perfect. I appreciate that. Thank you for that color. One last one for me. maybe, Jeff, for you or anyone else. But you guys were opportunistic late last year across the debt stack. And as we move into '25, you have the authorization you highlighted, perhaps some other cash coming in. The question is how do you view the trade-off from here between discount on the longer-dated debt, but lower coupon debt, versus some front-end needs you will have in the coming years? Thank you.
Jeff Gignac: Yes. I think -- look, I think the best place to look is what we did last year. The market guided where we were going. I did want to finish the year with a manageable 2027 maturity. And so at $528 million that is manageable, either via the revolver or a nice round offering size if we went back to the debt market. So I think we're just going to have to see where things where things are trading at any point in time when we have excess cash available to deploy it and let that be our guide.
Avi Steiner: Appreciate the time. Thank you. Go ahead.
Hilton Howell: Just one piece, and maybe sort of color to what you were asking about. Like on our CapEx deal, which everybody has got to realize is that this company did a lot of acquisitions over a substantial period of time. We announced quite candidly that we were cutting back on our CapEx. Well, that is -- what that is, in recognition of is that we basically have done all the CapEx that we inherited because we picked up a lot of portfolios that weren't where they needed to be. A lot of stations needed transmitters that we picked up. A lot of stations have really, really not secure buildings that kind of imperilled some of our employees. We had a variety of CapEx. And so we naturally have finished that. We're not cutting it off and leaving our stations short of what they need. They're fully prepared to fight and win the battle that they have in their markets. But We're very excited about that.
Jeff Gignac: Appreciate the time. Thank you everyone.
Operator: [Operator Instructions] Next up, we have Steven Cahall of Wells Fargo.
Steven Cahall: Thank you. First, Hilton, I was wondering if you could just touch a little more on some of your comments around the M&A opportunity. It certainly looks like it could be an exciting next few years with what the FCC is doing. You mentioned swaps as something that might be attractive to Gray. How do we think about those and what the financial benefits of those could be? And I know Assembly is close to home, figuratively and literally, you do have the large acreage there that you spoke about. Would you ever consider monetizing some of that to give you more dry powder for station M&A since you're at a point of a little higher leverage now? And then just a second question on political. Some of the things stayed the same this last political cycle. Some of the things changed. As you look to 2026 and maybe have a little bigger fight against Connected TV to retain your share of political dollars, what can you kind of do this year and next year to be ready to maintain that share?
Hilton Howell: Well, I think we're going to have to pass these questions around to each other. Make sure I have -- I understand the question about -- what we're doing at Assembly, Steven. What were you asking?
Steven Cahall: Yes, if you would just monetize any of your unused acreage, just to give yourself some more dry powder for station M&A?
Hilton Howell: I mean we don't foreclose any profitable and appropriate transaction, all right? So we're willing to listen to all kinds of folks. So the answer is, yes. Does that mean we're going to do that? No. But I'm not going to foreclose any kind of opportunity. It would depend on the individual sort of transaction. And we have considered a variety of things, all of which add great value to our company and to our shareholders. Really, I encourage you, Steven, and actually everybody on this call, and we really should probably one day have an investor meeting at our studios because I think when you actually physically see them, I think you're going to have a very positive view of what we've created and the value that it has for this company and will in the future. But a core business for us is the studio. We've got 80 acres, and we're going to be -- we may strike lots of deals and lots of different financially beneficial structures as we see what we can do with the remaining 80 acres. Now with regard to political and Connected TV, Sandy is that…
McNamara Breland: I'll just echo as Pat said in the comments. I mean, Steven, we're fortunate that with the strength of our stations, we have not only strong local reach on the linear broadcast side, but because of that also on all of our platforms. We have strong digital audiences, and we have strong connections in those community. So we have a -- as Pat said, a dedicated team now actively working to focusing on ways to better leverage our strong digital audiences going forward. We know that that's going to continue, and we have a lot of opportunity in '26. We have a lot of political opportunity in all of our markets. So that is a high focus for us, and we expect that to grow certainly for Gray.
Hilton Howell: Well, and then you asked a question about M&A and anyone in our room guys can opine as you see fit. But Steven, I mean, there's all kinds of opportunities. swaps, we will be looking at particularly if the FCC and the Department of Justice allows them because it's hard, particularly in smaller markets to make a decent buck with the expenses of insignificant local news. One of the great benefits to our company that we have been articulating to the public markets literally forever, is that we have only bought number one new stations throughout our entire M&A efforts. And so we have a handful that are not at the levels that we want them to be. We've fixed that. I mean we have done that, and our news content is there, and it's focused, it's consistent and it's focused on local issues and local news. We don't do opinion journalism, and something I do want to say with regard to this. I'm really proud of what John Decker -- I want to call him out because the new -- the White House has been calling on great television and our boy John Decker almost every day in the White House conferences, and I've been awfully proud of that. But adding duopolies in smaller markets, which is something that has been anathema, and in bigger markets, candidly, that has been anathema to regulations in the past is something that is going to be very helpful to maintaining a strong local news content. And the government has got to get with it. So I think the M&A world will begin with swaps. But who knows, if the rules change dramatically, there could be broader combinations. And Gray is interested in all the of above.
Steven Cahall: Thank you.
Hilton Howell: Thank you.
Operator: [Operator Instructions] Our final question is going to come from Alan Gould of Loop Capital.
Alan Gould: Thank you. Thanks for taking the question. Thanks for the investor deck earlier today. First, Jeff, in the investor deck, it shows a leverage goal of 4x. You're about 5.5x today, you usually go up in political -- usually increases in political years. How long until we get to 4x? And then the second question, I guess, for Kevin. Your Washington slide talking about deregulation. So besides the M&A and station swaps, what other deregulation opportunities are there? I know specifically, you also mentioned there the network-affiliate relationships. I assume that's with the vMVPDs, but what else will help benefit with deregulation?
Kevin Latek: I'll go first because it's easy. Our big goals from Washington are, as Hilton mentioned, relaxing the one of the market rule adopted in 1940. Secondly, the SEC shown some interest in the network-affiliate relationship, primarily around the networks complete control of our distribution on the virtual MVPDs, which are a sizable part of the distribution industry at this point. And then third, NEXTGEN TV is a huge and important growth opportunity for this industry. And we've gotten some middling progress from the SEC in the last couple of years. We really need them to step forward and remove some of the shackles on our business regarding NEXTGEN. So there's a lot that can happen there. So those are the big three pillars in Washington regulation.
Jeff Gignac: Yes. And Alan, on your other question about getting to the 4x, it's going to take a few years to get there. Obviously, the heavy cash flow years are the political years. Even in off years, we are cash flow positive. And so it's just not to the same extent. And so it will take us a few years to get there. But I think there's clear line of sight after what we've done -- what we did in '24 and capturing a little bit of the discount accelerated it in fourth quarter, accelerated some of the principal reduction, which then drives lower interest expense and starts to get the cash flow. The discretionary free cash flow to a spot where we have more ability to reduce the principal further.
Hilton Howell: Well, Alan, just let me tell you a little bit about history. When we closed on the Raycom transaction, one of the best deals in the history of broadcast, we got up to a 5.5 and within 18 months, we got down to 3.5. And -- but that was at a time when the interest rates were very much lower than what we have had in the past. Over the last couple of years since we finished the acquisition of Meredith and Quincy, we've seen during the Biden administration, a very rapid increase in interest rates, and it's been happy that the Fed -- happy for me at least, that the Fed has same fit to reduce interest rates over the course of -- or at the beginning of -- through 2024. I know they kind of paused at the beginning of 2025. But I think that we are in an interest rate diminishing area prospectively. And that's going to help us tremendously because this is a free cash flow generating business and Gray particularly is a robust free cash flow generator. So we look forward to getting it delevered in a lot of areas.
Alan Gould: Okay. Thank you.
Operator: All right. And with that, we will now turn the program back over to Mr. Hilton Howell for closing remarks.
Hilton Howell: Thank you so much, operator, and everyone on this call. Listen, everybody, Gray is an exceptional company with an exciting future that will continue to evolve and invest to meet the opportunities in our ever changing, and really quite exciting industry. Our revenues and cash flow are solid. We have walked the talk on reducing our debt. Our expenses have slowed significantly. Our investment in NEXTGEN TV and Assembly Atlanta are poised to deliver. We are reaching new audiences with local sports, and we expect that the government will finally level the playing field for companies like Gray. These are the main reasons why I personally remain buoyed and excited by our long-term prospects. We thank everyone for joining the call today. Operator, at this time, we ask that you close the line, and thank you all for being with us.
Operator: And with that, ladies and gentlemen, this does conclude your call. You may now disconnect your lines, and thank you again for joining us today.